Operator: Thank you and welcome to the Vita Coco Company Second Quarter 2022 Earnings Results Conference Call. Today's call is being recorded. With us are Mr. Mike Kirban, Executive Chairman; Martin Roper, Chief Executive Officer and Kevin Benmoussa, Chief Financial Officer of The Vita Coco Company. By now, everyone should have access to the company’s second quarter earnings release issued earlier today. This information is available on the Investor Relations section of The Vita Coco Company’s website at investors.thevitacococompany.com. Also on the website there is an accompanying presentation of our commercial and financial performance results. Certain comments made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management’s current expectations and beliefs concerning future events and are subject to several risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today’s press releases and other filings with the SEC for a more detailed discussion of the risks factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Also during the call, we will use some non-GAAP financial measures as we describe business performance. The SEC filings, as well as the earnings press release, and supplementary earnings presentation providing reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures are available on our website as well. And with that, it is my pleasure to turn the call over to Mike Kirban, our Co-Founder and Executive Chairman. Mike?
Michael Kirban: Thanks, John. Good afternoon, everyone. Thank you for joining us today to discuss our second quarter 2022 financial results and full year guidance. I’ll begin my remarks with a brief overview of our performance this quarter. I'll then reiterate our long-term growth strategy as we continue being a driving force in healthy beverages. Martin Roper, our CEO will then discuss the details of our top-line growth drivers, including our recent and upcoming pricing initiatives, and will provide an update on the supply chain and cost environment. Kevin Benmoussa, our CFO will provide a more detailed discussion on the second quarter results and our outlook for the year. I want to start by taking all of our colleagues across the globe for their continued commitment to the Vita Coco Company and their dedication to our mission, creating ethical, sustainable better for you beverages that uplift our communities and do right by our planet. The second quarter, punctuates a strong first half of the year and reinforces that our strategy and commercial execution are working. Net sales growth 13% year-over-year to $115 million with our flagship Vita Coco Coconut Water brand remaining the main driver of growth increasing 21% over the year ago period. The Coconut Water category remains healthy, increasing at a 12% pace in IRI measured channel for the last 52 weeks while Vita Coco grew 29% over the same period. We're pleased that Vita Coco Coconut Water remains the primary driver of retail category expansion and the brand continues to gain incremental share of the category. Today, we enjoy undisputed category leadership with 51% value share, which is up 7% from a year ago according to IRI measured tracked channels, MULO-C. We're encouraged by the continued strong growth we're seeing this year and we remain committed to our long-term plan to deepen our household penetration, increase category share and expand usage occasions to drive velocity of our products. We're pleased to have numerous tailwinds working in our favor, including increasing consumption of coconut beverages, driven in large part by demand from multicultural consumers and by growing consumer preference for natural and functional beverages. Over the years, we've found that our Vita Coco products actively source from the $10 billion isotonic category and from the $11 billion juice category. Our ability to source consumption across beverage categories and occasions is a primary driver of our growing household penetration. And according to numerator, Vita Coco household penetration currently stands at 11.4% on a 52 rolling -- 52 week rolling basis. That's up approximately 170 basis points over the last year, meaning that we've added about 2.3 million households versus the prior year. We're extremely proud of this progress, but we're not stopping here. We believe our coconut beverages are still in the early days of becoming a household staple and there's plenty of runway to add new households and introduce consumption occasions. As a beverage pioneer, we plan to take a leading role in driving innovation in the coconut water and coconut water adjacent categories. Along those lines, we're pleased to enter into a collaboration with Diageo to introduce Vita Coco Spiked in early 2023. It's a delicious, ready-to-drink cocktail made with their flagship Captain Morgan Rum brand. We think it's not only another way to increase our brand awareness across the beverage landscape, now including alcoholic beverages, but also to increase consumption occasions for coconut water through educating consumers on the great taste of coconut water cocktails. We think it's a natural combination. If it isn't obvious, I'm particularly excited about the future of our business. Vita Coco is one of the most recognized healthy beverage brands in the world and we're optimistic that we have essentially unlimited headroom to continue translating these many opportunities into category growth, market share gains and increased household penetration. In summary, we remain confident in our ability to deliver on our long-term algorithm of mid-teens net sales growth. Additionally, we remain committed to our goal of being the industry's better beverage company, one which focuses on providing healthier alternatives as compared to conventional beverages and one that strives to do better for the world in which we live. Before I turn it over to Martin, I want to briefly express my appreciation to our CFO, Kevin Benmoussa, who will be leaving Vita Coco at the end of this month to pursue an outside opportunity. Kevin has been an excellent business partner and a great friend over the years. I'm especially grateful for his dedication and contribution to our company, and we wish you all the best Kevin. And now I'll turn the call over to our Chief Executive Officer, Martin Roper.
Martin Roper: Thanks Mike and good morning, everyone. We are very happy with our strong first half performance in 2022, which resulted in a first half net sales increase of 19% as compared to the prior year period driven by continued strong consumer demand for our products mainly Vita Coco coconut water. In addition, as we would discuss in more detail later, we saw an improvement from the first quarter in our gross margins, reflecting the initial effects of our pricing actions and a stabilization of key transportation costs, partially as a result by mitigation efforts. In the second quarter of 2022, we increased global net sales by 13% to $150 million compared to net sales of $102 million in the second quarter of 2021. The growth first last year was driven by 21% net sales growth of Vita Coca coconut water offset by private label and other. Net sales in the Americas, which comprised 87% of total net sales in the second quarter of 2022 increased 17% to a $100 million compared to $86 million last year. Net sales for our International segment, which comprises the remaining 13% of total net sales were down 5% compared to the same year ago period, primarily driven by a negative lap of opportunistic commodity sales last year, combined with a negative impact of foreign exchange rates caused by the strengthening of the dollar relative to currency in our European markets. Supporting our volume growth within the Americas, year-to-date, we believe that we've gained approximately 11,000 incremental net points of retail distribution to provided Coco in the United States over the second quarter last year, as more set modifications were rolled out and executed against. We will hampered slightly by inventory availability on certain SKUs, but assuming inventory conditions improve, we believe we remain on track to reach our goal of 25,000 net new points of distributions by the end of the year. As we previewed last quarter, we took our planned first phase of frontline price increases during the second quarter. And we have also communicated to our retail partners, our price increases plan to take effect during the fourth quarter of this year. I can confirm what we stated last quarter, that we expect our plan pricing actions once fully realized on an annual basis in 2023, to offset the current level of elevated costs on a dollar basis. On a consolidated basis, our second quarter benefited from a 3% price mix split, largely driven by a 6% benefit in the Americas and partially offset by international where price increases were offset by negative foreign exchange impact. The price mix benefit in the America segments was mainly driven by reduced promotional investment and frontline price increases in our Vita Coco Coconut Water and price improvements implemented on private label products. While we saw negative impact internationally, mostly driven by lower commodities, opportunistic sales and foreign exchange impact. To date, as it pertains to demand elasticity, we're not seeing a material negative impact on our volumes resulting from higher pricing. We are seeing higher growth rates for our larger pack sizes that realize lower net revenue for case equivalent and this mix impact has reduced our reported net revenue for case equivalent gains. Going forward as we expect our net sales mix to move towards larger format SKUs and multi-pack over time, we anticipate some negative mix effect on net pricing case of from this mix shift, which could partially offset the otherwise positive impacts by pricing actions in America. We believe this trend on larger packs and formats is indicative of a healthy brand and should result in increased overall consumption as consumers have more coconut water available in their homes. For modeling purposes, we expect a more moderate impact from pricing mix for the remainder of the year due to timing of our increases and promotional activity, especially in the Americas where we will lack lower branded promotional activity. This had a disproportionate impact during the third quarter last year, producing higher recorded net revenue per case, which makes for a tougher comparison this year when our promotional cadence is more normalized. We're pleased with our multipack initiatives on Vita Coco as demonstrated by the American scan data and while it is still early in the testing of our Vita Coco juice can offering, the reaction from C-store retail test partners has been very positive. We expect to roll the canned juice product to more retailers and markets next year. We remain excited about our innovation pipeline for Vita Coco Coconut Water and associated Vita Coco product format extensions as well as for our developing brands and our strength is that all these initiatives will contribute more to our portfolio in the future. In US scan data for the second quarter, we see private label Coconut Water growing, but slower than both the category and Vita Coco branded revenue. Our private label volumes and net revenue are greater than year-to-date, despite weakness in reported second quarter shipments. We expect full year America private label shipments and net revenue to track our year-to-date trends with the benefits of price increases and new business offsetting some reductions in demand from other customers. Regarding the cost environment, as I alluded earlier, we saw during this quarter, a stabilization of the transportation cost increases experienced in prior quarters, as well as some improvement in our own ability to mitigate unplanned expenses, such as detention and demurrage. These improvements showed up in better costs of goods for case equivalent and better margins for the second quarter than our first quarter and we believe that our total transportation costs peak during Q4 on Q1. We maintain our supply chain as one of our key competitive advantages. It has continued to perform well with the unprecedented supply chain challenges the world is facing particularly the unpredictability of ocean shipping container availability and rates. Ocean shipping reliability and challenges at ports with detention and demurrage. During the quarter, our supply chain supported record quarter volumes, but we still experienced out of stocks on certain SKUs in certain locations as achieving balanced inventory across our warehouses continues to be challenging with strong demand and unplanned transit and port delays or skip sailings affecting our service levels. On ocean container availability, we recently began to be offered additional capacity on certain routes beyond our contracted agreements, but spot prices typically at or higher than our contracts. We're taking advantage of the best offers to improve our inventory positions in market. Assuming this continues, this should help resolve our inventory challenges by the end of the third quarter. We also believe these offers are a sign of ocean container demand weakening and transit times to remain higher than normal and at the end of the quarter, approximately half of our finished bids inventory remained in transit prior to receiving country. On ocean freight as we indicated last quarter, we have tried to limit our entry into new contracts except where we have to obtain guarantees on capacity to secure our sales quo as we near the end of the year, much of our container needs are secured and already in transit. Based on savings to date and our current contractual commitments, only approximately 25% of our ocean freight container capacity needs for the rest of the year are reliance on spot markets. As we negotiate new ocean freight contracts for lane and contracts are expiring, we are seeing proposals that still represent an increase in our old contract rates from the prior year contract. Please see the graphic presented in our investor deck for initialization of this effect. For each proposal, we evaluate whether to enter into a capacity and price contract or to operate past fund needs uncontracted relative to price. We are also evaluating the possibility of shorter duration contract given our expectation that rates are more likely to soften and then to increase. Currently, we are contracted for approximately 30% of our 2023 container needs mainly due to the multi-year agreement we entered into last year that expires during 2024. Our financial outlook for 2022 assumes the balance of our needs are priced at the current rates we are being offered. Our primary commercial focus for the balances of the year is navigating the challenging supply chain logistics environment, particularly some challenges in obtaining certain ingredients for our flavored Coco -- Vita Coco coconut water SKUs, where we expect some outer stocks during the third quarter. Despite this, we are still confident that strong consumer demand are expected improvements to overall inventory availability and our planned fourth quarter frontline price increases will help drive top line growth and we are maintaining our full year net revenue outlook. More importantly, as we -- as discussed prior, we anticipate that all the pricing action we will take this year will offset the higher cost we are currently experiencing and even absent and cost improvements are the first step to returning our business closer to our long term financial algorithm of gross margins approaching 40% and EBITDA margins in the high teens. Next, based on our current assumptions, we remain confident in our ability to achieve our financial targets for 2022. Based on everything we see in the market currently, the worst may be behind us from a margin deterioration perspective. And today we are reaffirming our previous net sales and adjusted EBITDA guidance, which Kevin will detail for you shortly. With that, I will turn the call over to Kevin Benmoussa, our Chief Financial Officer.
Kevin Benmoussa: Thanks Martin and hello everyone. I will now provide you with some additional details on the second quarter, 2022 financial results. I will then discuss the drivers of our outlook for the 2022 fiscal year. As Martin discussed earlier, we're seeing sequential improvements, which we would classify more as a stabilization of transportation cost environment during the second quarter that has extended into the third quarter thus far. Our top-line growth remains strong and we're on healthy financial footing with relatively low financial leverage and ample liquidity. In the second quarter of 2022 net sales grew 13% to $115 million an increase of $13 million compared to the second quarter of 2021. The increase was driven by continued strong consumer demand for Vita Coco coconut water with global net sales up 21% year-over-year. On a segment basis, within the America the Vita Coco Coconut Water grew 23% to $76 million of the second quarter of 2022 compared to the same period last year. The increase was primarily driven by higher case equivalent volume from continued strong consumer demand combined with net positive benefits from price mix, largely driven by higher frontline pricing. Private label declines 3% to $21 million for the second quarter, driven by a decline in case equivalent volume, partly upset by improved pricing. International segment net sell declines 5% to $15 million in the second quarter of 2022, primarily driven by foreign exchange headwinds in our European region where on a constant currency basis, net cells increased over the prior year period. Additionally, overall net sales decline was impacted by other products as we last opportunistic commodity sales for the previous year. Within the international segment, both Vita Coco Coconut Water and private label net sales grew 13%. Consolidated gross profit for the second quarter was $29 million driven by strong case equivalent volume growth. Favorable net pricing and positive mix shift to Vita Coco Coconut Water, which were more than upset by significantly higher transportation cost versus last year. As a result, our completed growth margin of 25% was down versus prior year although it sequentially improved from Q1 2022, by more than 500 basis points. Our supply chain continues to perform well and we have seen encouraging time of stabilization in our transportation cost for the second quarter. Moving on to operating expenses, our SG&A in the second quarter increased $3 million to $24 million versus the same period last year. The increase was largely due to incremental ongoing cost related to operating a public company, including higher spending personnel-related expenses, insurance and other professional fees. Net income in the second quarter was negatively impacted by a non-cash mark-to-market loss in fair value on current insurance hedges of $3 million whereas we benefited from gain of $5 million last year. As a result, net income attributable to shareholders was $1 million or $0.02 per diltued share of the second quarter of 2022, compared to net income of $8 million or $0.15 per diluted share in the second quarter of 2021. Adjust EBITDA, which excludes the impact of interest, tax, depreciation, amortization, stock-based compensation and expense, and non-cash foreign exchange mark-to-market in the second quarter with $7 million versus $10 million in the same period last year. The year-over-year decrease was primarily driven by higher transportation cost and SG&N spend as previously discussed, which was only partially upset by higher case equipment volume and net pricing action. Now, I would like to provide some updates on our gross margin evolution compared to past quarter. As previously stated, we continue to experience persistent cost pressures from transportation. Though we have seen sequential improvements versus Q1, Ocean freight rates remain well above historical low. As you can see in our earnings presentation, our total cost of goods per case equivalent increased 7% versus prior year period, mostly driven by an increase in our transportation cost while finished goods slightly benefited from positive rate mix. Looking at our total cost of goods inflation over two years, we estimated our consolidated gross margin was impacted by over $10 million in Q2 2022 and close to $30 million total in H1 2022 versus the same periods in 2020 by unusual transportation cost effect. Then our full year current guidance assumption, we anticipate this two year impact to be approximately $16 million on a full year basis. As you can see, we've experienced improvement in our margin in Q1 and continue to expect significant upside to our overall margin structure once these transitory cost pressures received, which we remain confident will ultimately happen. Now turning to our balance sheet and cash flow; as of June 30, 2022, we had total cash on hand of $16 million and $22 million of debt under our revolving credit facility compared to $29 million of cash and no debt as of December 31, 2021. The decrease in net cash was primarily driven by working capital due to significant account receivable increase as our business seasonality partially funded by our credit. Moving on to our full year guidance and our view on how the second half of the year will take shapes. We continue to expect fiscal year 2022 net sales to be between $440 million and $455 million representing growth in the range of 16% to 20% versus 2021 as consumer demand for our products remain robust. While the cost environment continues to be volatile, we are referring our non-GAAP adjusted EBITDA guidance to be in the range of $27 million to $32 million. This reflects the increased cost pressure we have faced so far this year and accounts for the incremental mitigating action we have identified across our P&L for the remainder of the year, which we have already started to implement. As it pertains to the second half of the year, we expect our top line growth in Q3 to be in line with what we've seen in Q2 with stronger growth expected for Q4. On the gross margin side, we expect Q3 to be in line with Q2 with some expansion in Q4 as we anticipate more benefits from net pricing action. On a full year basis, we continue to expect strong case equivalent volume growth in the mid team with a few percentage points of positive price mix lift, mostly driven by America segment as pricing action tech effect. As Martin described earlier, we expect a more moderate impact from price mix for the remainder of the year due to timing, especially in the Americas, as we anticipate lapping lower branded commercial activities, which had largely materialized in the second half of 2021, and which had had a disproportionate impact on the third quarter. We continue to expect cost of goods sold for case equivalent inflation in Q3 to run into the low double-digit versus prior year, which should moderate towards the end of the year as we lap larger cost increases in Q4 2021. As a result, we're modeling our full year 2022 gross margin to land in the mid-twenties, consistent with our prior guidance. Below the line, we expect higher year-over-year operating expenses from increased personal expenses and other costs associated with being a public company. As it pertains to our collaboration with Diageo to introduce Vita Coco Spiked, which launches early next year, we expect to treat this as a licensing agreement for accounting purposes and if successful to contribute meaningfully to our profitability for years. Lastly, I would like to thank Mike, Martin and the entire Vita Coco family for the last couple of years, we have been working together. This experience has been truly amazing and as I move onto my next chapter, I will remain a big supporter of the brand and this great company. I wish them all much continued success. And with that, I'd like to turn the call back to Martin for his closing remark.
Martin Roper: Thank you, Kevin. To close, I'd like to reiterate our confidence in the long term potential of the Vita Coco brand. We remain excited about our key initiatives to drive growth long term and short term, both within the Vita Coco brand and our new brand initiatives. Despite the persistent challenges in the transportation environment, we are encouraged by the recent improvements to ocean container availability and the softening of ocean freight spot rate. The Vita Coco company has an exceptionally strong brand in Vita Coco with a solid balance sheet and we are well positioned to emerge even stronger once transportation costs subside further, which we firmly believe they will. Before we take your questions, I want to offer my appreciation to Kevin for his dedication and contribution over the last four years, I have especially enjoyed working with him and appreciated the support. Under Kevin's leadership the company has built a highly qualified finance and accounting team that I believe is more than capable of supporting the finance and reporting function during our CFO transition. I'm particularly pleased that Rowena Ricalde, our VP Global Accounting and Control will assume the Interim CFO role upon Kevin's departure and I look forward to working closely with her and her team to ensure we do not miss a beat while we are actively interviewing the structure and capability gives us the luxury of being patient to find the best candidate for this exciting opportunity. Thank you for joining us today and thank you for your interest in the Vita Coco Company. That concludes our second quarter of prepared remarks and we will now take your questions.
Operator: [Operator instructions] Our first question comes from the line of Bonnie Herzog of Goldman Sachs. Bonnie Herzog, your line is open.
Bonnie Herzog: All right. Thank you. Good morning. I had a question, I guess, on the negative mixed impact of the larger pack sizes that you called out. Just hoping you could give us a sense maybe of what percentage of your business is now larger pack sizes, maybe versus a year ago. And then, how much of a drag could this be in your margins in the second half? I know you mentioned it's going to offset some of the benefits of the pricing you have planned. So I guess I'm also wondering why you might not be considering taking even more pricing now to offset this issue.
Martin Roper: Yeah, Bonnie thanks. I think when you look at the scanned mass and food channels, multi packs are still a pretty small part of our business. They're obviously a big part of our business and club. We're seeing growth in the scanned channels mass and food of the multi packs that's faster than the singles. And so we do have that mix effect showing up in the scan data, which suppresses the price realization that shows up in the scan data.\ From a P&L perspective, the same effect will happen. It's not a gushing torr [ph] towards multi packs. So we're just highlighting it, that it's going to be a drag in our pricing. We're taking pricing up across the board or across a whole business with the goal for next year to absorb fully the cost of good increases that we're currently experiencing on a case dollar basis and we'll look at, the movement into model pack and decide if we need to make further pricing actions next year.
Bonnie Herzog: Okay. So just to clarify, in terms of the pricing that you had already talked about, putting in the market, it's sort of in line with your previous expectations?
Martin Roper: Yeah. The Q2 pricing that we executed is in line with our previous expectations and we have communicated our Q4 plans and those are in line with what we previously communicated.
Bonnie Herzog: Okay. And then, just as we think about next year, I know it's a bit early, but any thoughts on continued gross margin recovery for next year? I know you've suggested previously that you do see potential for further margin expansion and just based on what you guys just discussed, just curious to hear your latest thoughts on this and if this is certainly still possible and just maybe some more color and some of the key drivers that are going to impact next year. Thanks.
Martin Roper: Yeah. So I think the first point on the gross margin question is what we said about our pricing, which is designed to recover on a dollar basis the current cost environment. So that will obviously enhance margins next year. I think we've alluded to the fact, we expect Q4 margins to be better when that pricing goes in sequentially. Right? So next year's margin should be better than this year's margins based on that pricing or other factors being equal. We haven't provided guidance as to what that does, but we've obviously indicated the size of the pricing. So you could model, what that would do on the margin basis. We view it as a journey back to sort of high 30s gross margins, which we think is where the business should operate under a normal transportation cost economy environment. So that's a good step. As we think about other impacts on gross margin, obviously the other one is what happens, to the transportation environment and there, I think we're optimistic that we're seeing good solid signs of the opening up of that. Although again to be clear, it's very challenging versus two years ago. We're still at multiples of rates versus two years ago and so the question is, is how fast do things return to an equilibrium and I think we believe the equilibrium will be close to where it was two years ago. So there's a lot of margin recovery to happen. And so the question is, is how fast that happens and we in our contracting, are being more cautious in entering into longer term contracts, because obviously they lock us in at current contract rates and we believe those are likely to decline as time goes on. So we're looking at shorter contracts to take advantage of hopefully those declines as they happen and so that would be the other impact that could happen and again, we, you don't have a crystal ball on that, but we're optimistic that we're on a pathway to recovering our gross margin against a long term algorithm. And then, I think you asked about next year, obviously we haven't provided guidance, but obviously the category is healthy and growing. We're driving that. and so, I think we believe that that should continue cause it's driven by consumer interest in our brand and in coconut water and all the sort of tailwinds that we have behind our top line.
Bonnie Herzog: Okay, appreciate that. That was helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Carey of Wells Fargo. Chris Carey, your line is open.
Chris Carey: Hi, good morning. I just wanted to follow up quickly on the pack sizes and you're seeing trade up larger pack sizes. Does that impact at all the confidence levels on the pricing that you're going to be taking into the back half of the year if consumers researching for more value in a way that shows some building of elasticity, given that big shift. And I just wonder if that's impacting how you're assessing those pricing actions into the back half of the year and then I've a follow up.
Kevin Benmoussa: Hey Chris, this is Kevin. Let me take that. So just want to clarify here. I think what we said earlier around the shift in that pack mix, it's more like on the longer run as we think about outlook for H2 and balance of year. We've taken into account like some assumption, but it's really not material, especially for this year, right? So this is more like more providing more color as we think about our longer term algorithm and how this evolves, but as it relates to our pricing action and what's impact in our outlook everything is fairly in line to what we previously communicated, right? So we don't anticipate any big, meaningful impact from this mix shift right now for this year. 
Martin Roper: I would add though, also that this has been a trend we've seen for a while now. We don't think it's necessarily people looking for value. They're drinking more of the product. They're buying more of the product. They're keeping more of the product at home, which is why they're buying more multi packs we believe.
Kevin Benmoussa: And I think for us, as we talked about last quarter is strategic that we are the brand that can have multi packs on the shelf because we're the largest brand. And so it's a strategic move for us. It affects shelf space, it increases share and so we view it as the long term process.
Chris Carey: Okay, perfect. And then the follow up is just around Martin, I think you mentioned that ocean freight rates contractually would still imply inflation year over year, but you also mentioned that pricing action should offset inflation through 2023. If those contracted rates, if you were to sign those contracted rates that you see right now, would that pricing comment still hold through 2023 or would you have to take incremental pricing?
Martin Roper: So the pricing comment holds on the sort of cost that we're currently experiencing and as we look at the balance of the year. So that's what we're currently modeling for pricing is a good place to set pricing for next year. And then we can obviously take a little more if we need to, or we can promote off from that.
Operator: Thank you. Our next question comes from the line of Michael Lavery of Piper Sandler. Michael Lavery your line is open.
Michael Lavery: I just wanted to come back to spike. You touched on the arrangement having the licensing component which of course would be great margins. But would it also include selling product as an ingredient and would that offset how we should think about the margins in total?
Martin Roper: Yeah, we're not disclosing financial terms of the agreement with Diageo. We think that over time it could have a significant impact on our profit, but we don't expect something in the very near future as we're investing in getting the business going in '23.
Michael Lavery: Yep. Okay. And that was also one of the pieces I wasn't had to understand is just that you're sharing in some of the marketing investments for that as well obviously.
Martin Roper: It's part of the structure of the financial terms. Yeah.
Michael Lavery: And just wanted to follow up on the distribution. You talked about the 25,000 new points of distribution target for the year that you're almost halfway through. It's obviously skewed to the second half, if you hit that. What's the runway? Do you have visibility on or are you on track to hit that for the end of this year?
Martin Roper: Yes, we believe so. Obviously we're happy with the 11,000 that we've delivered to date, but we've been hampered a little bit by specific SKU sort of inventory challenges that we alluded to in the script and that's caused some voids in our tracking that we would've expected normally to be filled. So yeah, we believe we're on track for the 25,000, assuming the inventory sort of situation resolved itself during the third quarter.
Operator: Thank you. Our next question comes from Robert Ottenstein of Evercore ISI. Robert Ottenstein, your line is open.
Robert Ottenstein: Great. Thank you very much. And congratulations on strong results.
Martin Roper: Thanks Rob.
Robert Ottenstein: So you've got, 700 basis points of value share, which is remarkable. Looking back at that and I know we've talked about this in the past, but just want to get your updated views, how much of that value share gain do you think is attributed to, price increases from competitors or out of stocks from competitors and do you expect that you'll give up some of that when you execute your full pricing? So I'm just trying to get a sense of what the dynamics there and where things are likely to end up on the market share side. Thank you.
Martin Roper: But I think, we believe that it's been our sort of retail execution and the strength of the brand and that's, what's driven share. It's really hard to pass out, the causes of that related to other brands. The other brands sort of started taking pricing sort of maybe earlier this year. So, the share gains were happening before that. And so some of it could be just are better availability in execution, but we're translating that also into more shelf space now and squeezing out these players. So we're trying to lock in those games and I think we feel pretty good about that. But it's really hard to pass.
Kevin Benmoussa: I think if I could add just, remember we're larger than our next, roughly call it 10 competitors combined. So there's a long tail or there historically was a long tail of small brands in this category. And we think that as we've continued to gain, share and execute really well at retail, we've pushed some of these brands out to the point where they're, they're not coming back because they were very small and the economics just don't work for them at that size, in that scale. So we think we're in a really good position to continue to gain market share over time.
Robert Ottenstein: So, so this kind of 50% plus is not in your view an aberration, but, a relatively steady state and you can grow from here.
Kevin Benmoussa: Yes.
Robert Ottenstein: Okay. That's terrific and is there any way to quantify shelf space gains or your progress in terms of building out the C-store penetration? You mentioned some data about increased number of stores and I wasn't sure what exactly what that referred to.
Kevin Benmoussa: Yeah. I think I was answering the question on, we communicated earlier this year that we were going to try and deliver 25,000 net new points of distribution across our universe. We use sort of depletion tracking data for that sort of VIP types data and we're on track for that. I think previously we'd maybe communicated that. If we got that, that represented, I think 6%, 8% total points of distribution growth helped you quantify it. That's net new points. We've got some legacy innovations that, we're losing distribution on because we're decided not support them. And we're delivering that, on through the initiatives that we talked about that's net new point, we've got some legacy innovations that we're losing distribution on because we're decided not them and we're delivering that, on through the initiatives that we talked about, the C-stores being the primary driver where we have the juice product and test,
Robert Ottenstein: Right. And I guess the question of that, and then I'll move on is, is the move to C-stores or the increased presence in C-stores enough to have a noticeable impact on your price mix.
Kevin Benmoussa: So great question. I don't think the sort of trends between C-store mass and food where obviously have very healthy trends in both places is sufficient to drive, something at the price realization of the company level that you would be able to detect. We are, as part of our test on use, we're testing different price points and certainly, if juice became very big, that might have a bigger effect on mix but we're not yet have not yet decided what our strategy is that. So can't comment.
Operator: Thank you. [Operator instructions] Our next question comes from the line of Brian Stein of Bank of America Brian. Brian, your line is open.
Brian Stein: I had two questions, the first one as we're looking at price elasticity and cross elasticity, what's kind of hard to see in the Nielsen data is because of the mix effects, I guess it's driving price mixed down as we're looking at Vita Coco but so we're looking at like Isotonics where pricing's been up mid-teens. It looks like the price gap, if you will, between Vita Coco Coco and Isotonics is actually widened. And that actually maybe creates some opportunity in some headroom, I guess, for your price increases. So just again, it's kind of hard for us to see it in the Nielsen data. So I just wanted to see if that's actually accurate that, Isotonics have moved more on pricing than you have so far and that gives you a little bit of headroom, I guess, as you're thinking about cross elasticities and sourcing from Isotonics.
Michael Kirban: Yeah, I think importantly today we have not taken material frontline pricing. We took some in Q2, but Q4 plans and more material. We've seen other beverage categories. You mentioned Isotonics, but it's true across most non-alcoholic beverage categories They've taken 10 to 15. We think that has created room for us to move, and given our current sort of demand is, as big as our supply, if not bigger, given our sort of inventory issues we're pretty comfortable. We have room to move.
Brian Stein: Okay. And then follow up question is just or second question is really just the move into alcohol for Vita Coco for the brand. Can you just talk about how you thought about being positioned as a health and wellness brand and also actually as a health and wellness company, how that reconciles with moving into alcohol, which you know, is distinctly not a health and wellness category. So just how you're going to sort of navigate making sure that that doesn't -- the move in the alcohol doesn't dilute, the image of the company, but also just the kind of the positioning the brand?
Michael Kirban: Well, in general, I think we look at our consumers as health conscious and health aware and looking for functional beverages, but they're not necessarily my body is my temple and I won't put anything into my body. And so a lot of our consumers, do consume alcohol on occasion, and they're balanced and, if you've ever traveled around the tropical world, coconut water is one of the most consumed mixers with alcohol. It's just a natural effect, a natural mixer. And we believe that there's a real consumption occasion here beyond just our ready to drink cocktails with Diageo. We think there's a real opportunity to open up an entirely new consumption occasion, which is as a mixer with spirits, especially as consumers are looking for healthier alternatives, not only to their daily beverages that they drink, like Vita Coco compared to traditional sports drinks, for example, but also is in what they're mixing in their, in their spirits and in their alcohol. So we're excited about the opportunity to open up an entirely new occasion.
Brian Stein: Okay. Thanks.
Operator: Thank you. At this time, I'd like to turn the call back over to CEO, Martin Roper for closing remarks. Sir?
Martin Roper: Yeah. Thanks everybody. And we look forward to talking to you again in three months.
Operator: Ladies and gentlemen, this does conclude your program. Thank you for your participation. You may disconnect at this time.